Operator: Good day, everyone, and welcome to the Guess?’ First Quarter Fiscal 2025 Earnings Conference Call. I would like to turn the call over to Fabrice Benarouche, Senior Vice President of Finance and Investor Relations and Chief Accounting Officer. Please go ahead.
Fabrice Benarouche: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer; and Markus Neubrand, Chief Financial Officer. During today’s call, the company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation and short and long-term outlooks. The company’s actual results may differ materially from current expectations based on risk factors included in today’s press release and the company’s quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and description of these measures can be found in today’s earnings release. Now, I will turn it over to, Carlos.
Carlos Alberini: Thank you, Fabrice, and thank you all for joining us for our Q1 fiscal 2025 quarterly conference call. The year is off to a strong start, and we are pleased to report significant progress against a number of important operational, strategic and financial objectives. From an operational and financial perspective, our teams executed well during the quarter, which enabled us to deliver results for the first quarter that exceeded our expectations in terms of revenues, operating earnings and per share results. We grew sales in each of our segments and expanded gross margins, both of which favorably impacted the bottom line. On the strategic front, we are excited to have completed our company’s first ever acquisition. We launched a new brand Guess Jeans, secured the renewal of a key licensing agreement and transformed our U.S. distribution function. We also made great strides to further strengthen our financial foundation and deliver value for our shareholders, including rewarding them with a special dividend, refinancing and repaying our 2024 convertible notes and obtaining an expanded credit facility. Markus will share more on these financial highlights in just a few minutes. And, we achieved all of this in just a little more than two months since we last spoke. We are proud of these results, which reflect the talent and skill of our dedicated and experienced team members. On behalf of Paul and myself, I want to take this opportunity to recognize our teams around the world for a job well done and thank them for their outstanding contributions. These results also reflect the strength and resilience of our brands and the benefit of our highly diversified business model across product categories, geographies and channels of distribution. That business model helps to enhance the predictability of our earnings and cash flows. The addition of rag & bone to our portfolio even further diversifies our business and should serve to enhance our company’s growth in the years to come. For the first quarter, we grew revenues by 4%, reaching $592 million. As I highlighted a moment ago, each one of our operating segments posted a revenue increase with the Americas Wholesale and Licensing segments contributing most significantly to the total growth for the quarter. Our Guess? business in the Americas retail has continued to face challenges with declines in traffic and conversion that resulted in comp sales headwinds. Though with the addition of rag & bone’s April revenues, we were able to more than offset that topline pressure in the segment and deliver very modest growth. On a consolidated basis, the addition of rag & bone, which we began to consolidate starting in April, drove the growth for the quarter with the core Guess? and Marciano businesses generating revenues up 3% versus last year in constant currency. Overall, we are pleased with the rag & bone business, which is performing in-line with our expectations and has been a fantastic addition to the Guess?’ portfolio. Our team managed the business well with tight inventory control and careful expense management. Our disciplined approach to inventory management drove a 4% reduction in Guess? and Marciano inventory levels, a higher level of full price selling and 120 basis point increase in gross margins for the quarter. Given the seasonality of the business, we had anticipated an operating loss for the quarter. However, we cut that anticipated loss in half, reporting only an $8 million adjusted operating loss and a $0.27 adjusted loss per diluted share. Let me offer some regional highlights for the quarter. In Europe, we delivered a 1% increase in revenues, reaching $284 million ahead of expectations. The strong momentum in our European retail business continued as we posted double-digit comps and grew wholesale deliveries both in constant currency. Most of our growth though was masked by a significant currency headwind. Our business performed well in mature markets in Southern and Central Europe, while our softer markets tended to be in the North and the East. Strong product performance was broadly based with accessories performing best. The business was driven by the healthy performance of handbags, travel accessories, women’s jewelry and fragrances. Our women’s apparel business was strong, particularly in knit tops, sweaters, skirts and denim, and our men’s business posted solid increases as well, driven by the demand for knit tops, sweaters and activewear. In the Americas Retail, revenues increased roughly 0.5% reaching $144 million. Across the U.S. and Canada, the retail environment has remained challenging with consumers remaining cautious in their spending. We saw declines in both our women’s and men’s businesses, while activewear and sweaters were our best performing categories. Accessories outperformed apparel, especially handbags, watches, fragrances and travel accessories. We are working to navigate the current environment and drive improvements in this business. We feel good about our current product assortment and have been evaluating opportunities to drive more business and improve trends through marketing investments, including trialing different promotional actions, both in store and online. Our Americas Wholesale business was strong and grew 21% in the quarter to $62 million driven mainly by rag & bone shipments as well as growth from Mexico. In Asia, revenues increased 3% to $73 million. And finally, our Licensing business performed extremely well, delivering a revenue increase of 21% to $29 million. We are pleased to have delivered on our earnings objectives for the quarter in addition to driving other key strategic initiatives across our business. Growing Guess? and expanding our global reach has always been foundational to our strategic vision since Paul and his brothers started the business. In the 43 years since then, we have built a powerful platform, anchored by successful regional management centers across the globe. Our products are sold in over 100 countries, and we have developed broad capabilities to sell through virtually every distribution model. Between our company and our network of licensee partners, we bring products to market across 25 different categories, leveraging a diverse supply chain that we feel is truly best-in-class. As a result, we have built Guess? into the thriving $5.5 billion retail business that it is today. Looking to the future, we continue to see multiple opportunities to further grow the Guess? brand. Beyond that, we can leverage our powerful platform to support more than just one brand. We know that with our capabilities, we can do more. We have built a platform that can power a bigger and broader business, generate synergistic growth and margin expansion and deliver significant value creation over time. This is what we call the inflection point, the evolution that I described in our last call. That was to leverage that platform and drive outsized growth through our multiple existing brands, through internally developed or segmented brands or through acquisitions of new brands. Looking at our core Guess? brand, the business remains healthy and has been performing well. It is gratifying to see continued success in mature markets in Europe. In addition to that, we are excited about our growth opportunities in newer markets such as Turkey, Middle East, India and Latin America, where the business is enjoying strong momentum. For our Guess? brand, handbags have been instrumental in growing the brand, and we see opportunities for further growth as we expand our footprint. That’s why we are pleased to share that Paul has renegotiated the extension of our handbag license, cementing that important partnership until 2039 on very favorable terms. The new contract included a $40 million upfront cash payment for the license renewal. Going forward, we see handbags as a strong category to augment the apparel assortment of other lifestyle brands beyond Guess? as well, rag & bone is a great example with this potential. As you know, we have recently launched our Guess Jeans brand and just finished its first sales campaign, an exciting moment for our company. While it hearkens to the legacy of the Guess? brand, Guess Jeans is a completely new lifestyle brand with its own identity and multi-category assortment. It employs a brand new store concept with its own marketing strategy and advertising campaigns targeting the younger Gen-Z customer, but welcoming all customers. Guess Jeans is an environmentally conscious brand that is introducing AirWash, an innovative stone washing process for denim that dramatically reduces water consumption. This, combined with an eco-friendly store environment defined by sustainable store materials, will connect well with its target consumer. And, with its casual offering and more compelling price points, it fits well within our overall brand and pricing architecture. The brand is already ahead of expectations with wholesale accounts showing great enthusiasm for the brand and product. In France, Galeries Lafayette just featured Guess Jeans with a special installation on pop-up at their flagship Paris Haussmann store that included air wash visual effects, a denim customization station with a special product displayed [and signage] (ph). They also featured our first Guess Jeans advertising campaign on the [facade] (ph) of this iconic store, which is located in a very high traffic area in Paris. Also in June, Italian department store chain La Rinascente plans to do a special Guess Jeans presentation in its flagship store on Corso Vittorio Emanuele in Milan. Under the direction of Nicolai Marciano, we just completed the first Guess Jeans advertising campaign featuring English fashion model and actress, Iris Law, the daughter of actor Jude Law. We believe her imprints will help expand the reach of the Guess Jeans brand globally online, imprint and across social media as well. Also for the third year during Coachella weekend, Guess Jeans hosted celebrity guests and brand ambassadors in a luxury compound of homes. The weekend included multiple after parties hosted by top performing artists Anderson Paak, Metro Boomin and Kaytranada with a star studded guest list, including Billie Eilish, Ice Spice, J Balvin, Robert Pattinson, Justin and Hailey Bieber and more. The event proved enormously successful, resulting in nearly 4 billion impressions and 58 million views. As you know, we completed our acquisition of rag & bone in Q1 through a partnership with WHP Global. Rag & bone is already a $250 billion business, a Heritage brand with proven longevity, with a diverse product offering for both women and men, commanding premium pricing and margins and appealing to a highly affluent consumer base. This nicely complements our existing business. Rag & bone also brings with it an experienced and talented management team led by Andrew Rosen. Paul and I want to welcome them all to the Guess? family. We hope you also saw that on Tuesday, we announced Andrew’s appointment as Rag & Bone’s Executive Chair. Andrew is a visionary in American fashion and has been involved with rag & bone since 2006. He brings a wealth of experience and expertise to the brand, providing strategic direction and oversight to drive the brand’s mission forward. It’s only been a couple of months, but our teams are already working well together. Paul has been highly engaged with Andrew and the rag & bone team, along with our licensees and our country management teams to begin executing our ambitious agenda to grow the business with new product categories and international expansion. We are already advertising the brand in existing and new markets, and actively looking for new store locations including key cities in Europe. As rag & bone continues to operate as an independent fashion brand, together we can help to optimize their operations by sharing resources and leveraging scale, including sourcing opportunities. Turning to our focus on product. During the quarter, we made significant progress to reduce our SKU development count in our global apparel lines with a goal to achieve a 30% reduction. We have also tightened the assortment in our retail stores to concentrate our buys into fewer SKUs to increase productivity and service levels. In addition, we continue to refine and perfect our pricing structure by focusing on the customers’ perceived value for each and every product. Beyond creating value by growing our business and optimizing our product offering, pricing and the way we buy, we are focused on continuous improvements in everything we do to drive efficiencies in our operations. To support this goal, the transition to a third-party provider to operate our U.S. distribution center is well underway. We selected GXO Logistics, which has been our distribution partner in Europe for many years. The transition, which is going smoothly, should help reduce costs as well as improve service levels. We have launched a process to sell that facility with GXO leasing it back to operate. We expect for the sale transaction to be finalized before the end of third quarter this year. Turning to our outlook. Consistent with our previous guidance, we expect strong revenue growth to exceed $3 billion this year for the first time ever and to deliver nearly $3 in adjusted earnings per share. Before I hand off to Markus, let me share my personal reflection on what has me so excited about our company and our future. I have been back now a little more than five years and so much has changed and that includes with me. Because when I returned in 2019, I brought with me the perspective that I left with in 2010, laser focused on growing the Guess? brand, a successful brand, well known for over 40 years and already well-distributed in over 100 countries. I still strongly believe that there are growth opportunities for Guess? and great things to come. What I have come to realize though is that arguably, our most valuable asset is the powerful machine, this platform that we have built that brought Guess? to the precipice of a $3 billion global brand. What started with Paul and his brother’s vision for Guess?, we can do with other brands, either developed internally or acquired from others. That’s the inflection point, recognizing that this company is more than just one brand. It is that platform. Our expansive global footprint, broad channel capabilities, extensive supply chain, diverse category portfolio and strong management team, that’s a powerful arsenal, not easy to replicate, but so adaptable. We wake up every day energized by the belief that we can do things that others simply cannot do, to take a regional brand and make it global, to turn a single category brand into a lifestyle brand, to make something exponentially bigger because we can grow it across multiple dimensions. We are off to a great start with rag & bone and Guess Jeans already has solid traction. Our strong start to the year reinforces our belief and our passion. We have a strong capital structure and we are careful stewards of our shareholders’ capital, so we will move prudently, learn as we go and course correct when necessary. But I’m even more enthusiastic now than I was in 2019, and I couldn’t be more excited and confident in our ability to drive outsized growth with this platform and create outsized value for our shareholders. And with that, I will pass the call to Markus. Markus, please go ahead.
Markus Neubrand: Thank you, Carlos, and good afternoon, everyone. I want to echo Carlos’ sentiments about our quarter. Our team performed very well, resulting in higher than expected revenues, adjusted operating margin and a lower adjusted loss per share than we had anticipated. On April 2, 2024, we completed the rag & bone acquisition and have integrated rag & bone into our existing segments. Let me take you through our first quarter results in more detail. Total company revenues in the first quarter grew by 4% in U.S. dollars and 7% in constant currency with the Europe and Licensing segments performing better than expected, partially offset by lower than anticipated revenues in our Americas Retail segment. Compared to last year’s first quarter, rag & bone accounts for four points and the core business for three points of the total company revenue growth in constant currency. Turning to our segment performance, starting with Europe, where we posted a 1% revenue increase in U.S. dollars and 7% in constant currency. Retail comps, including e-commerce, increased 4% in U.S. dollars and 9% in constant currency. As in the past few quarters, Turkey’s hyperinflation had a meaningful impact on the retail comps, including e-commerce, and excluding Turkey, that retail comp increase in constant currency would have been 4%. A key driver for the revenue growth in the quarter was a strong store comparable revenue growth of 12% in constant currency. While traffic declined modestly, our teams drove AUR growth and a higher conversion. Key actions we took over the last six months continue to benefit our performance, including improved assortments, replenishment and better customer experience. Improving from fourth quarter trends. Our e-commerce comps declined by 1% in constant currency compared to Q1 of last year. Our revenues in European wholesale increased low-single-digit in constant currency. This was partially driven by earlier than anticipated shipments to wholesale accounts that welcomed our product to support good sales momentum in their businesses. The operating margin in our European business decreased by 80 basis points to negative 0.2% due to higher expenses and currency headwinds, partially offset by higher revenues and improved initial markups. Revenues for Americas Retail increased roughly 0.5% in U.S. dollars and remained roughly flat in constant currency. The decline in retail comps in our core business in the U.S. and Canada was offset by the addition of rag & bone and robust retail comps in Mexico. American Retail comps including e-commerce declined 8% in constant currency. In our U.S. and Canada stores, comps fell by 12% in constant currency as a result of lower levels of traffic and conversion. As Carlos mentioned, we are taking action to improve our performance. Our U.S. and Canada e-com comparable revenues decreased by 1% compared to Q1 of last year. Lower traffic to our website was partially offset by business initiatives that drove a higher conversion rate. Americas Retail posted a negative 7.2% operating margin, a roughly five point decrease in operating margin compared to last year, which was driven by the unfavorable impact from lower store comps and higher expenses, partially offset by lower markdowns and a higher IMU. In Americas Wholesale, revenues increased by 21% in U.S. dollars and 18% in constant currency, mainly driven by the first time consolidation of rag & bone. Operating margin reached 22.7%, a decrease of 280 basis points from last year’s first quarter, mainly driven by the impact of new acquired businesses. In Asia, revenue grew 3% in U.S. dollars and 7% in constant currency. Revenue growth was mainly driven by our new business in India and e-commerce in China. Retail comps, including e-commerce for the region, decreased 5% in constant currency. Operating margin in Asia decreased 30 basis points to 5.1%. Higher revenues were offset by lower product margins and higher expenses. And finally, our Licensing segment had a strong quarter and exceeded our expectations with revenues increasing 21% in both U.S. dollars and constant currency. The first quarter benefited from the amortization of the upfront payment for the handbag license renewal. Segment operating margin was 92% and operating profit increased by 20%. In Q1, total company gross margin reached 41.9%, up 120 basis points from a year earlier, mainly driven by higher revenues, improved IMUs and lower markdowns, partially offset by higher expenses. Adjusted SG&A expense for the quarter increased 11% to $256 million. The increase was mainly due to rag & bone and investments in marketing and infrastructure, especially in Europe. For the quarter, our adjusted SG&A rate increased 2.8 points to 43.2%. In the quarter, our adjusted operating margin for the company decreased 160 basis points to a negative 1.3%, driven by high expenses and an unfavorable impact from currencies, offset by higher revenues and IMU. In the quarter, we further reported non-operating net income of $36 million. This includes a net non-cash gain due to a re-measurement of derivatives related to our convertible notes and related hedge. With the completion of the convertible notes exchange transactions earlier this year, the accounting treatment changed to fair value, resulting in a non-operating, non-cash gain or loss. Further, our GAAP corporate overhead expenses in the quarter were impacted by $11 million of charges related to the rag & bone transaction and the transition of our Kentucky distribution center to a third-party provider. And, we recorded an adjusted effective tax rate of 12.3%. Adjusted Q1 diluted loss per share was $0.27 compared to $0.7 of loss per share in last year’s first quarter. Moving to the balance sheet. Our inventories were $555 million at the end of the quarter. Excluding rag & bone, our core inventories were down 4% in U.S. dollars and 1% in constant currency compared to last year, underscoring our disciplined inventory management. For the quarter, capital expenditures were roughly $20 million mainly driven by investments in store remodels, technology and the acquisition of certain assets in Chile and Peru. We ended the quarter with $243 million in cash compared to $299 million a year ago. The most significant drivers of that $56 million cash consumption over the last four quarters include $234 million of free cash flow, which includes $40 million of upfront payment in connection with the handbag license renewal more than offset by $185 million in dividends, the rag & bone acquisition of $57 million, $31 million in share repurchases and $12 million in minority capital distributions. We ended the quarter with a total of $279 million of borrowing capacity on our various global facilities. So, roughly $520 million of available liquidity. As Carlos mentioned, we issued a special dividend of $2.25 per share to our shareholders, while also repaying $33 million in 2024 convertible notes due in April. Furthermore, in connection with the closing of the rag & bone acquisition, we increased the borrowing capacity of our asset-based revolving credit facility in North America by roughly $50 million. We also exchanged an additional tranche of our 2024 convertible notes, which had been due last month, deferring $15 million of maturities in 2028. We are very pleased with our free cash flow for the last 12 months, which improved more than $100 million compared to the prior period. That performance resulted from both our careful working capital management as well as sizable cash infusions from non-recurring events. Turning to our outlook for fiscal year 2025. Our view of the year is consistent with what we shared with you back in March. We continue to expect the cautious consumer whose shopping is affected by external factors like inflation, credit availability and higher interest rates. In our core retail business in the U.S. and Canada, our traffic headwinds persist. As Carlos described earlier, we are working on initiatives to drive improvements in this business. In Europe, we expect our business to remain strong. The addition of rag & bone will contribute to a substantial portion of this year’s growth for the total company. And as always, given the diversification of our model, we will remain agile to react quickly to new developments including both opportunities and challenges. For the fiscal year 2025, we now expect revenues will increase in the range of 10.7% to 12.7% in U.S. dollars. This is net of one and a half point headwind because of last year’s extra week and a one point currency headwind given prevailing exchange rates. Currency headwinds should ease in the latter half of fiscal 2025. Given the Red Sea disruption, we continue to expect headwinds from inbound freight costs. And, our plans to support our growth initiatives by investing into marketing and infrastructure remain in place. Based on these assumptions for the full-year, we expect an adjusted operating margin between 7.7% 8.5% and adjusted earnings per share in the range of $2.62 to $3. For the second quarter, we expect revenues will increase in the range of 9% to 11% in U.S. dollars. Currency headwinds are expected to have a net adverse impact on revenue growth of roughly two points. We expect adjusted operating margin between 5.3% and 6.1% and adjusted earnings per share between $0.38 and $0.47. Overall, we expect revenue growth to accelerate in the third quarter of the year with the first outerwear shipment in North America and an acceleration of the new Guess Jeans brand. Going into the fourth quarter, we expect that revenue growth will be negatively impacted as we will anniversary last year’s 53rd week. Turning to operating margin. We do expect the margin pressure to abate in the third quarter when compared with last year. The fourth quarter should represent an opportunity for adjusted operating margin expansion. Our outlook for free cash flow is unchanged as we anticipate generating a free cash flow of roughly $160 million for the full-year. Our priority is to invest in our brands and businesses to support sustainable growth. We will remain highly disciplined in the way we allocate capital across projects. In closing, I’ve been a part of the Guess? family for almost a year. I’m proud of our teams that continue executing with excellence as demonstrated again by our performance last quarter. We have an incredible platform and our strong capital structure enables us to invest in our future. We are very excited about our prospects for growth. We are focused on data analytics to improve decision making on our journey to achieve operational excellence. Looking forward, our strategic objectives will guide us to drive sustainable profitable growth and meaningful shareholder returns. And with that, we can now open the call up for questions.
Operator: Thank you. [Operator Instructions] One moment for our first question. And, it comes from the line of Mauricio Serna with UBS. Please proceed.
Mauricio Serna: Great. Good afternoon, and thanks for taking our questions. First on the, just wanted to ask on the revenue guidance for the year, I think you lowered it a little bit despite a beat on the first quarter. I was wondering if this is mostly related to maybe like FX being a bigger headwind than previously anticipated. And then, on the margins for the year, I think slightly up at the midpoint just slightly, but is that reflective of like the new licensing agreement? Just trying to reconcile what were the changes in there? And, then I have another follow-up. Thank you.
Carlos Alberini: Yes. Hi, Mauricio. Let me start, just and then Markus is going to complete this. But, just in general, our guidance today and our outlook is very consistent with the previous one that we shared with you about two months ago when we released fourth quarter earnings. And yes, of course, we tweaked some in the outlook based on our performance in the first quarter and the trends that we are seeing. So, we did tweak some that touched primarily the retail business in the Americas and also just a lot of the performance was also very positive with respect to what we see in some other businesses that compensate or offset some of the weakness that we saw in the Americas. In addition to that, we do have some timing issues that impacted just the wholesale business in Europe, but it’s a relatively small piece and we are seeing a lot of momentum in the growth of that business for the second half of the year. So, that is also embedded in our guidance. Your question about licensing, there is a small adjustment to the licensing business because of the renewal of that license, but it’s not significant, but it’s embedded in the guidance as well. And I think that, Markus is going to talk about the currency issue as well, which is impacting us in the first half significantly, but it’s supposed to abate in the second half. So, Marcus?
Markus Neubrand: Hi, Mauricio. Thank you for your question. Regarding the revenue, so to reiterate, what Carlos just said, our guidance is very consistent and the guidance we gave today is consistent with what we provided previously with strong revenue growth and also adjusted operating margin, adjusted EPS at the top end of 8.5% and $3 per share. Let me give you some little bit more color on the second quarter where the guidance which we provided today. We’re expecting U.S. dollar revenue growth between 9% and 11% for the second quarter, adjusted operating margin between 5.3% and 6.1% and EPS between $0.38 and $0.47. That’s consistent with how we were thinking about the second quarter when we got it last time with only two notable changes. As Carlos touched on, we are pleased with the European wholesale customers have a good sell out performance and we anticipated some earlier into Q1 in first quarter instead of the second quarter. And then as Carlos just mentioned and we talked about in prepared remarks, the Americas retail business has been soft and these assumptions are now part of our second quarter guidance and obviously of course that’s why I wanted to start with the second quarter. This is impacting the fourth quarter and the rest of the year as well. As you think about the quarterly cadence for the back half of the year, we have opportunity for adjusted operating margin expansion especially in the fourth quarter. And considering the seasonality of our business, the fourth quarter being the strongest revenue quarter that’s great because it represents the biggest opportunity for adjusted operating profit growth.
Mauricio Serna: Got it. Very helpful all this color. Maybe just to elaborate on your comment about Q4, like what is driving that opportunity in operating margin expansion? And maybe just lastly, if you could elaborate on what you’ve done, like it’s very nice to see some the lower markdowns in the Americas retail business that you highlighted, like could you talk about more about what drove that lower markdown activity?
Markus Neubrand: Let me first start and we shared also on the Q4 call what is driving the second half of the year in terms of overall revenue initiatives where we have several concrete initiatives like Guess Jeans, we have India, Chile and Peru, the internalization of the outerwear and dress category with stop shipping in second half and of course, rag & bone. The headwinds that we talked about earlier last year’s 53rd week and the fix in the first half of the year, which where we expect I think then also to abate in the second half of this year. Going back to your question about operating margin and I think what is for the fourth quarter, we see improved for the fourth quarter, improved full price selling. I think that we quoted last year’s fourth quarter, we had higher markdowns. I think that’s also where we see this as an opportunity for improved full price selling. And we also see with the timing of the wholesale shipments and also supported by the good sell out performance of our partners. We see the fourth quarter benefiting from the timing of the wholesale shipments and furthermore, third point, with the timing of our advertising spend across the year, this will benefit our fourth quarter operating margin as well.
Carlos Alberini: And I would add that the addition of rag & bone has a significant impact. This is a business that has a big component of retail as part of the mix of business and that should be accretive to the fourth quarter as well. And you asked the question about margins in general. We have been very disciplined in the way we have been buying inventory. We are obsessed with trying to read what future demand is going to look like. And then we are tying the, or limiting the inventory buys to support that business based on that future customer demand. And it has worked very well for us. We instituted this now a couple maybe three or four years ago that we have been doing this and we are applying this methodology in every one of our businesses regardless of region. And as a result, we can optimize margins in the sell-out, because in every case we have we choose to not overbuy, even if that means that we are not going to be maximizing sales. But we are trying to respect our core value about elevating the brand and selling a lot of the products that we buy at full price and avoid discounting at this type of cost of reducing sales if anything but having a much healthier business.
Mauricio Serna: Got it. Very helpful. Thanks again for all the details.
Carlos Alberini: Thank you, Mauricio.
Operator: Thank you. [Operator Instructions]. One moment for our next question please. And it comes from the line of Eric Beder with Small Cap Consumer Research. Please proceed.
Eric Beder: Good afternoon. Congrats on the acquisition. I want to talk a little bit about rag & bone. You mentioned that you’re looking for retail space in Europe. I know this brand is not heavily distributed outside the U.S. So, how do you look upon expanding this brand into international? And also there’s not a lot of source here or in the U.S. How many do you think longer term can this brand support? And when you look [a little bit] (ph), who have a follow-up?
Carlos Alberini: Yes. Thank you, Eric for the question. Just we are super excited about rag & bone. I think that it is very clear. We just made a big announcement with Andrew Rosen becoming the rag & bone chair and we couldn’t be more excited about the team. We couldn’t be more excited about the opportunities that we’re going to pursue together. So let me start there. But just we have a lot to do. We see two huge opportunities. One is to really increase the product assortment that the company has operated with. And the second big thing is about making this brand global and just bringing more into the international landscape. And we are working on both fronts, the two teams are. And we believe that in order to represent the brand appropriately and give the kind of brand awareness that the brand needs, especially in a region like the European region, we definitely need store presence in some of the key cities. So we have been looking into the opportunities that could be available to us. The great thing is that, as you know, we have a major infrastructure and a great platform at Guess? and with an amazing team that is represented in multiple centers in the European markets and that whole team has been mobilized to really look for these opportunities. Now just we haven’t selected anything yet, but we are moving very quickly. And then there is also a big opportunity on the product side to really look at opportunities for additional product categories and that today may be represented inside the assortment that the brand offers, but that they have -- they show an opportunity be bigger businesses and we are thinking about also a licensing model for some of those categories as well. With respect to stores in the domestic business and market, you’re right. I mean, the company has only 34 stores and we think that there is an opportunity to be expanded in a bigger way, but we are going slowly. The great thing is that this company did not have full access to capital in the past under the previous ownership and we think that we can provide that. So, there is a lot more flexibility to move into that type of expansion. But we are going to go slowly. And again, this is just Andrew Rosen and the team are thinking about all these things. We are working on putting a new plan together. But all things are going to take some time and we’re going to move carefully and be very judicious with the way we employ capital. The great thing is that their retail business is highly successful. Just they have great productivity in the stores that they do have. I think at every single store it produces positive cash flow and we would expect that that type of experience will be replicated with new stores. Of course, we have incredible relationships with landlords and that is also the case with Andrew and the team at rag & bone. And we are working together to really maximize those relationships and make sure that we are just teaming up on things that are important to the brand and the growth. So, we couldn’t be more excited. And I know that it’s reasonably early. The product seems to be working really well, just our partners, I’m talking about department stores and the people that are buying the brand are super excited about the collections. And as a result, we see a very nice trend in our wholesale business and that should also translate into the retail business when the same product is sold at the point of sale in retail, same thing with the e-commerce business. So, overall very, very happy and excited about the future for the brands and for us together.
Eric Beder: Just a quick follow-up. So, for the first time you talked about the platform being levered for other brands and being able to take it like rag & bone to kind of the next level. When you look out longer term here three, four, six, whatever amount of years, do you see Guess? as kind of this multi-branded platform that leverages its worldwide connections to have like three or four of these different brands? And I guess is that acquisition or is that a combination of acquisition and internal like you’re doing with Guess Jeans? Thank you.
Carlos Alberini: Yes. Thank you, Eric. Yes. No, I mean, we do believe that the power of this platform is pretty significant and we do think that there is an opportunity here to bring other businesses through that platform, whether it’s from internally developed brands or segmented brands. Just the Guess Jeans example is a great one where it’s not something that we necessarily fully develop, but because it is absolutely anchored in our heritage and what Guess? just has in its DNA. But it’s a separate brand and it’s definitely an incremental business, which by the way is doing very, very well. And we are excited about the opportunity for growth with that brand. But that is just an example. Rag & bone is another great example of where we can use the platform that has been built over the last 43 years since Paul and his brother started the business just to be able to really optimize and grow those different businesses. I think that it will be super premature to start thinking about, okay, now we’re going to add another one and another one. I think that right now we are fully focused on just growing our core business, which is a big one, but offers a lot of opportunities. And we are definitely putting a lot of energy into the rag & bone acquisition strategy. The good thing is that that brand is being managed as an independent brand and autonomous and we have a great team. So, just while obviously we want to coordinate activities and work together and weigh in on the strategic direction that the brand has and the company, we are giving just a lot of power and decision making just opportunities to the team to do their job. And we are very happy with that because again the team is super strong. So, we want this to be successful before we think about the next one and the next one. But don’t think that that doesn’t mean that means that we don’t think that other brands could be incorporated into this portfolio. We believe strongly that that will be the case, but we want to take every move with a lot of care, a lot of attention and a lot of energy and that’s what we’re doing.
Operator: Thank you. And with that, I will conclude the Q&A session and turn it back to Carlos Alberini for closing comments.
Carlos Alberini: Thank you very much, operator. Well, thank you all for your participation today. We are very pleased with our performance and we are very excited about our future. Our team is energized to grab what I call our inflection point opportunity and take our company to the next level of growth and profitability. Just I know I speak on behalf of Paul and myself in saying that we have a great team and it’s very exciting to be part of this journey together right now. So, thank you all for all your support for our company and our story and we’ll speak again soon. Have a great day.
Operator: Thank you. And with that, we conclude our conference call. Thank you all for participating and have a great day.